Operator: Good day and welcome to the Five9 Inc.Q1 2016 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Tony Righetti with The Blueshirt Group. Please go ahead, sir.
Tony Righetti: Thank you, operator. Good afternoon, everyone. And thank for joining us on today’s conference call to discuss Five9’s first quarter 2016 results. Today’s call is being hosted by Mike Burkland, CEO; and Barry Zwarenstein, CFO. During the course of this conference call, Five9’s management team will make projections and other forward-looking statements regarding future events or the future financial performance of the company. We caution you that such statements are simply predictions, should not be unduly relied upon by investors, and actual events or results may differ materially, and the company undertakes no obligation to update the information in such statements. These statements are subject to substantial risks and uncertainties that could adversely affect our future results and cause these forward-looking statements to be inaccurate. A more detailed discussion of certain of the risk factors that could cause these forward-looking statements to be inaccurate and that you should consider in evaluating Five9 and its prospects is included under the caption Risk Factors and elsewhere in our filings with the Securities and Exchange Commission. In addition, management will make reference to non-GAAP financial measures during this call. Management believes that this non-GAAP information is useful, because it can enhance in understanding of the company’s ongoing performance and Five9 therefore uses non-GAAP financial information internally to evaluate and manage the company’s operations. This non-GAAP financial information should be considered along with and not as a replacement for financial information reported under GAAP and could be different than the non-GAAP financial information provided by other companies in our industry. The full reconciliation of the GAAP to non-GAAP financial data can be found in the company’s press release issued earlier this afternoon and available on the Investor Relations section of Five9 website. Now, I’d like to turn the call over to Five9’s CEO, Mike Burkland.
Mike Burkland: Thank you, Tony, welcome everyone to our first quarter earnings call. We are very pleased to report an exceptional first quarter. We once again exceeded expectations across all key metrics total revenue for the first quarter was $38 million, up 26% year-over-year, continuing our multi-year pattern of growth in the mid-20%s. The strong revenue growth was all organic and was driven by our very strong performance in our enterprise business as our LTM enterprise subscription revenue growth accelerated the 39% year-over-year compared to 38% in the fourth quarter of 2015 and 35% in the third quarter of 2015. Our commercial or SMB business continues to be a key component of our revenue delivering steady and consistent growth of around 10% as that has for many years. In addition to our continued solid top line growth, we reported our second consecutive quarter a positive adjusted EBITDA. This achievement is a clear demonstration of the power of our business model and the ability for our enterprise business to drive high marginal profitability. In the first quarter we delivered LTM marginal profitability of 64% measured by the percentage of revenue growth that drops to the adjusted EBITDA line. We believe that there are not many companies in the cloud software universe that are consistently delivering top line growth in the mid-20%s coupled with this type of marginal profitability. Our strong marginal profitability supports the path to our long-term goal of adjusted EBITDA margins in excess of 20%. Bookings were exceptionally strong in the first quarter. We set an all time record for enterprise bookings and did so by a considerable margin. We also had our second largest quarter ever in SMB bookings. These exceptional bookings and our larger than ever pipeline were driven by continued sales execution by our direct Salesforce coupled with the increasing leverage we are getting from our expanding ecosystem of partners including CRM vendors, resellers, master agents, referral partners, systems integrators, VARs and ISPs This expanding ecosystem of partners influence more than 45% of our enterprise deal flow. I also want to provide some additional color on our recently expanded channel program which is yielding significant tangible results. For example, the number of master agents and resellers increased by 30% from Q4 to Q1 and we continue to add more channel partners. Bookings through these channels nearly doubled from Q4 to Q1 and the pipeline for master agents and resellers also doubled from Q4 to Q1. Based on our strong first quarter financial results, our exceptional bookings and pipeline momentum, we are raising our 2016 guidance for both top and bottom lines. My commentary today we’ll again focus on our faster growing and more profitable enterprise business. Since that is where we are concentrating our investments and generating most of our growth. As a reminder, the enterprise contact center market is very large, under penetrated, and represents a significant ongoing growth opportunity for Five9. There are 15.8 million contact center agents around the world representing an estimated TAM of $24 billion in annual recurring revenue, three quarters of which are enterprise and where cloud penetration is still under 10%. Following highlights demonstrate our accelerated momentum in this enterprise market. First, 39% growth in LTM enterprise subscription revenue, an acceleration from the 38% we reported in the fourth quarter, and 35% in the third quarter of last year. We believe that this is a key metric that reflects the payoff from our ongoing enterprise go to market investments. Second, enterprise revenue has grown to 66% of LTM revenue versus 61% a year ago increasing 4 percentage points year-over-year. Third, we estimate our win rate against two key cloud competitors was once again over 70% in the first quarter. And fourth, we continue to move upmarket closing an increasing number of million dollar plus deals. Now, that I’ve shared some of the key metrics for our enterprise business, I’d like to discuss some of the specific reasons why Five9 is being selected by enterprise customers for both new and expansion deals starting with our key product and platform differentiators. The first is user experience, our award winning agent interface build on HTML5 has an intuitive browser based design providing easy visualization of customer profile, context and cross-channel history. Second, our omnichannel solution effectively delivers a consistent and personalized user experience and common rigor across channels and touch points. Omnichannel experience helps our customers reduce costs, achieve consistency to a single application experience, provide modern modes of communication, and greatly improve end user experience. Third, our deep CRM integrations with Salesforce, Oracle, Zendesk and Microsoft help our joint customers modernize their contacts centers. Fourth, our predictive analytics offering through Five9 Connect which is based on a robust natural language processing engine that helps route and customers to the right agents based on sentiment and reasons for contact. Five9 Connect provides agents with predictive assistance and next best actions based on customer context. Fifth, our freedom platform, an industry differentiating micro services based open enterprise architecture enables customers, partners and developers to leverage over 300 rest APIs and powerful SKDs to deliver new solutions that integrate with Five9 products. This open architecture has enabled us to provide the deepest integrations with CRM, unified communications and ISP partners. Sixth, we offer guaranteed voice quality with our agent connect service and our call by call carrier optimization routing all as a managed service from Five9. Seventh, we the only cloud contact center supplier to offer the world’s number one WFO solution as a service, powered by NICE Systems. And eight, we continue to deliver best-in-class reliability, security, compliance and scale ability that meets the standards of large enterprises including some of the leading financial services and health care companies. We are extremely proud of our uptime performance which averaged 99.992% over the last 12 months. In addition to these existing differentiators, I’m very excited about our game changing and innovative roadmap focused on contact center modernization which is designed to take customer experience to a completely new level with our comprehensive customer journey strategy through advanced analytics, proactive customer care and exciting modern channels of communication. Above and beyond these product and platform differentiators, we continue to out execute our competition by delivering our solutions to enterprises with what we believe is the industry’s most thorough and proven high touch process including detailed discovery, design, testing, implementation, training and optimization. This not only accelerates agent activation but also targets desired business outcomes. Once live, we offer our premium support service which includes a dedicated technical account manager to act as an extension of the customer staff to deliver ongoing optimization, fine tuning, call flow testing, custom reporting and analysis of customer KPIs. All this helps our customers continuously improve the efficiency of their operations and maximize their return on investment in our platform. Now I would like to share with you highlights from some of our first quarter enterprise wins and expansions. The first is a large financial services company that focuses on fleet management providing automobiles to large companies along with associated services such as mileage tracking, automobile maintenance, accident claims, administration and roadside assistance. They had several outdated disparate on-premise solutions which created silos of inefficiency and inconsistent metrics making it difficult to manage the business. With thousands of employees and hundreds of contacts center agents they were looking for a cloud solution spanning both contact center and unifed communications. Through our integration with Microsoft Skype for Business, we are providing an end-to-end solution to serve both context center agents and back office knowledge workers. For the contact center, we are providing them with a fully blended inbound, outbound speech enabled IVR, Salesforce integration, workforce optimization, quality management and interaction analytics. We estimate this deal will generate over $2.9 million in annual recurring revenue to Five9. The second example is a mobile network provider that deliver service throughout much of the Latin American market that recently launched service in Peru and was looking for an end-to-end provider to deliver full omnichannel experience including voice, E-mail, chat and social. They chose Five9 due to our robust offering for omnichannel experience but also for the ease of potential expansion throughout the LATAM region. They found Five9 not only delivers a mature cloud solution refined over more than a decade, but also the innovation required to meet the needs and preferences of today’s savvy consumer. And finally, one of the leading global ticket marketplaces for entertainment and sporting events is planning to implement Five9 and Salesforce across its 13 international locations starting with Europe. They made the decision to go with Five9 after they determined it would be too costly and too cumbersome to integrate their legacy premise-based contact center systems to Salesforce. They also required seamless routing of customer interactions between themselves and their primary outsourcer in Bulgaria who already uses Five9. Having them on a single cloud-based system, gives them greater ability to share calls with outsourcer while also giving them the multi-tenant privacy and data protection they require. I now would like to share an example of an expansion deal that highlights our land-and-expand strategy with existing customers. A healthcare insurance provider that has been with Five9 for over five years continues to benefit from the advantages of our cloud solution integrated with Salesforce. This customer with over 1,000 contact center seats on Five9 recently added another group of about 180 eighty contact center agents to serve their 19 retail locations. This new group is leveraging Five9 for both inbound and outbound calls to serve consumers that have recently visited their retail outlets. After this expansion we estimate this customer will generate over $2 million in annual recurring revenue to Five9. In conclusion, we could not be more pleased with how Five9 is positioned in this customer service market that is still in the early days of a massive push toward modernization, which includes a shift to the cloud for both CRM solutions, like Salesforce, Oracle, as well as contact center solutions like Five9. To illustrate the scale and momentum of this modernization take a look at Salesforce.com service cloud revenue which is already at $2 billion in annual run rate and is growing at 35% year-over-year. Our cloud contact center software is tightly integrated with leading CRM solutions like Salesforce and Oracle and we are going to market together to help our joint customers modernize their contacts centers. This modernization is enabling our enterprise customers to deliver a better customer experience to their customers, which is resulting in a strategic intangible value proposition of driving up customer satisfaction, driving up customer retention, and driving up revenue. In addition, the power of our business model has never been so clear, as we’ve delivered strong and consistent revenue growth in the mid-20% coupled with extraordinary marginal profitability. More specifically our LTM enterprise subscription revenue grew by 39% and we delivered our second consecutive quarter of adjusted EBITDA profitability. While we’re very pleased to be adjusted EBITDA profitable this is just a milestone on our path to our long-term target of 20% plus adjusted EBITDA margins. I will now turn the call over to Barry to provide more color on the first quarter financials.
Barry Zwarenstein: Thank you. Mike. Revenue for the first quarter of 2016 was $38 million, up 26% from the first quarter of 2015. This increase reflects the continued strong growth in our enterprise business as Mike has highlighted. Recurring revenue accounted for 95% of our revenues in the first quarter of 2016. Recurring revenue is made up of monthly software subscriptions, which are based on the number of agencies, plus usage which is based up on minutes. We enjoy a high retention rate on these recurring revenues. We are pleased to report that our annual dollar-based retention rate in the first quarter increased to 98%, up from 96% in the fourth quarter of 2015. We expect the retention rate to gradually increase over time partly due to the higher mix of larger clients with higher retention rates. The other 5% of our first quarter revenue was comprised of professional services fees generated from assisting clients in implementing and optimizing the Five9 solution. I will now discuss gross margin and expenses both of which I will address on a non-GAAP basis. Gross margin of 61.4% were up over 480 basis points versus the prior year and were the same as in the fourth quarter. Sequentially, we had expected a decline in gross margins from the fourth to the first quarter due to the FICA restart and key investments in professional services. These two factors had a negative impact of approximately one percentage point combined which we are pleased to have offset with gains elsewhere and therefore maintain gross margins on a sequential basis. We expect gross margins to be around these levels for the next two quarters before increasing modestly in the fourth quarter. Taking a longer-term view, we expect to close the remaining GAAP to our long-term model of 65% to 70% by a two main drivers. First, subscription margins increasing due to scaling revenue on fixed and semi-fixed cost. And second, professional services margins continuing to increase significantly as a number of investments we’re making in this area payoff. Before turning to expenses I would like once again to stress an overarching point on gross margins relating to revenue that comes from usage. To avoid any misconceptions it is important for investors to realize that while the usage revenues generate gross margins below our subscription margins, usage revenue comes with very minor incremental operating expenses, and therefore generate considerable bottom line leverage. Turning now to expenses, which I’ll discuss in the order of the remaining GAAP to close to reach the long-term 20%-plus EBITDA model. G&A expenses in the first quarter of 2016 were $5.5 million or 14.3% of revenue, down approximately four percentage points from the prior year. Our remaining GAAP to the midpoint of our long-term model for G&A is approximately seven percentage points. R&D expenses in the first quarter of 2016 were $5.2 million or 13.7% of revenue, also down approximately four percentage points from the prior year. Our remaining GAAP to the midpoint of our long-term model for R&D is a little under four percentage points. Sales and marketing expenses in the first quarter of 2016 were $12.2 million or 32.1% of revenue, an increase of approximately one percentage point from the prior year. As a reminder, we continue to invest in our enterprise go-to-market efforts including the sales capacity growth of 30% to 40% and investments in new channels which together are driving our impressive growth in enterprise subscription revenue. In addition, our first quarter sales and marketing expenses included a meaningful increase in commission expense driven by our record bookings performance in the quarter. Looking ahead, we already near our long-term targets with sales and marking expenses which remains at 28% to 32%. We expect our operating expenses as a percent of revenue to continue to decline towards our long-term targets as we continue to grow and experience increased operating leverage. We are extremely pleased to report a second consecutive quarter of positive adjusted EBITDA. We generated positive adjusted EBITDA of $0.5 million in the first quarter of 2016, 1% of revenue compared to an adjusted EBITDA loss of $3.2 million or 10% of revenue in the first quarter 2015. This positive adjusted EBITDA in the first quarter came despite the following factors. First, higher costs and expenses related to the hires we have been making and continue to make in a number of areas to support our consistent mid-20%’s revenue growth. Second, increase commissions from record bookings. And third, the consumer impact of the annual restart of FICA and other payable related costs. While we are very pleased to have remained in positive adjusted EBITDA territory in the first quarter, we expect to dip back into negative adjusted EBITDA in the second quarter of 2016. This is because sequentially second quarter revenue faces a seasonal headwind while at the same time we continue to ramp expenses in a somewhat linear fashion. In the third quarter we expect revenues to resume growing sequentially and to be at approximately adjusted EBITDA break-even. In the fourth quarter, typically our seasonally strongest quarter, we continue to expect to generate strongly positive adjusted EBITDA and we continue to expect that our adjusted EBITDA will be positive for the year. GAAP net loss for the first quarter of 2016 was $4.9 million or $0.10 per share compared to a GAAP net loss of $8.9 million or $0.18 per share for the first quarter of 2015. Our Non-GAAP net loss for the first quarter of 2016 was $2.7 million or $0.05 per share compared to a non-GAAP net loss of $5.9 million or $0.12 per share for the first quarter of 2015. Finally, before turning to our guidance, some balance sheet and cash flow highlights. Our DSO performance remained strong and DSOs for the quarter ended March 31, 2016 were 27 days compared to 24 days in the first quarter of the prior year. As of March 31, 2016, our cash and short-term investments totaled $57.8 million compared to $58.5 million as of December 31, 2015. Cash outflow from operations for the first quarter 2016 was $52,000 better than we expected and markedly improved from the $5.8 million operating cash outflow in the first quarter of 2015. Capital spending in the first quarter 2016 was $1.5 million of which $1.3 million was financed by capital leases and the remaining $252,000 was paid for in cash. Free cash outflow defined as operating cash flow plus capital spending paid for in cash was $200,000 for the first quarter of 2016 compared to an outflow of $6 million in the first quarter of 2015. As of March 31, 2016, our debt totaled $35.5million made up of a $12.5 million revolver and $23 million in term debt. This term debt has extended maturities, with approximately half coming due this year and next and the remainder in 2018 and 2019. I’d like to finish today’s prepared remarks with a brief discussion of our expectations for the second quarter and for the full year of 2016. For the second quarter 2016, we expect revenue in the range of $36.3 million to $37.3 million. GAAP net loss is expected to be in the range of $5.8 million to $6.8 million or loss of $0.11 to $0.13 per share. Non-GAAP net loss is expected to be in the range of $3.2 million to $4.2 million or loss of $0.06 to $0.08 per share. For 2016, we expect revenue to be in the range of $151.5 million to $154.5 million versus prior guidance of $148 million to $151 million. GAAP net loss is expected to be in the range of $19.8 million to $21.8 million versus prior guidance of $20.1 million to $23.1 million or loss of $0.38 to $0.42 per share compared to prior guidance of $0.39 to $0.44 per share. Non-GAAP net loss is expected to be in the range of $10.1 million to $12.1 million versus prior guidance of $11.0 million to $14.0 million, or loss of $0.19 to $0.23 per share versus prior guidance of $0.21 to $0.27 per share. I would like to add that the profile of the GAAP and the non-GAAP net income in the second half should mirror the pattern of adjusted EBITDA that are outlined above. For modelling purposes, we would like to provide the following additional information. For calculating EPS, we expect our shares to be $52.1 million for the second quarter and $52.4 million for the full year. We expect our taxes, which relate mainly to foreign subsidiaries to be approximately $135,000 for the year. As a reminder, we have a substantial NOL carry forward balance. As of December 31, 2015, the NOL was a $124.4 million at the federal level and $85.2 million at the state level. Our capital expenditures for the full year are still expected to total approximately $8.7 million to $9.7 million of which approximately $2 million are planned for the second quarter. In summary, we are very pleased with our second quarter. We will continue to be focused on driving solid revenue growth and driving towards our long-term model of 20%-plus adjusted EBITDA. Lastly, before we turn to your questions, we would like to mention our upcoming conference participation. We will be presenting at the Needham Emerging Technology Conference in New York on May 18 and at the 44th Annual J.P. Morgan Technology Media and Telecom Conference in Boston on May 24. We will also be participating in the Bank of America Merrill Lynch 2016 Global technology conference in San Francisco on June 1. And now, we’d like to open the call for questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Sterling Auty with JPMorgan.
Sterling Auty: Yes, thanks, hi guys. You mentioned in the prepared remarks what are the customer wins included a notable international component. And I’m just curious if that’s going to be able to be serviced out of your domestic data center and what you’ve already rolled out in Europe or is there additional infrastructure investment needed to support this customer and hopefully more coming behind it.
Mike Burkland: Yes. Hey, Sterling, this is Mike, good question. So we will be supporting that international rollout through our domestic data center plus our UK data center and over time we will be expanding eventually into Asia and other locations, and this customers’ roll out is in line with our with our data center roll out.
Sterling Auty: Did they actually do some proof-of-concept or are testing to show that the latency or any other items are going to be within thresholds for quality and service et cetera?
Mike Burkland: Yes, absolutely. As you know we’re managing end-to-end connectivity from consumer to agent, we do that across all of our data centers and this deployment will start in the UK and then move around the world.
Sterling Auty: Second question is looking at some of the customer wins that you noted, it seems like the size of them are materially higher than what we were talking about a year ago. Would you feel like you’ve kind of gone through a bit of an inflection in terms of size of deals because customers that you have up and running now you’ve got more referenceable accounts or something else is helping gain comfort or customers looking for large deployments.
Mike Burkland: Yes, we’ve definitely seen deal size go up as we’ve talked about it before Sterling. Our deal size in 2015, our average deal size was $450,000 and annual recurring revenue that was up from 350,000 and annual recurring revenue back in 2014 based on what we see so far this year we expect the trend to continue our deal sizes continue to grow in terms of seat count as well as additional products that our enterprise customers are purchasing from us. It’s an overall opening of the enterprise market to cloud, its being driven by multiple factors including our proof point up scale – up market if you will. But it’s also being driven by great partnerships with companies like Salesforce and Oracle and other cloud leaders as they bring large enterprises to the cloud, they’re bringing us along with them so to speak. We’re going to market together to deliver a better customer experience for our joint customers with those key CRM partners. So we see this market just continuing to move upwards toward larger and larger deals.
Sterling Auty: Great. And last question, Barry. In your discussion of gross margin improvement from here to the target, you mentioned capacity utilization. I think that’s the first time that I have not heard you mention lease cost routing. Has lease cost routing kind of played out in terms of the benefits that it can deliver and now it’s on just the capacity utilization or it least cost routing part of the capacity utilization that you’re describing.
Barry Zwarenstein: Great observation, Sterling. And the answer is that it’s not competing tapped out in terms of the usage improvement, but the rate of improvement will diminish and probably flatten out. We get pretty attractive margins there. They drop down to the bottom line. But there’s only so far you can go despite all the attendant services that we provide to our customers, like redundancies and monitoring and automatic switching, et cetera.
Sterling Auty: Right. Thank you.
Operator: We will take our next question from David Hynes with Canaccord.
David Hynes: Hey, thanks guys. Nice to see the positive operating cash flow in the quarter in addition to EBITDA. I think that’s a first. So well done there. First question. As you consider the channel build-out and use of master agents and resellers, what are the implications on margins as channel distribution becomes a larger part of the bookings mix?
Mike Burkland: Yes. Good question, DJ. So first when we talk about channel expansion, because we’ve had – this is a recently expanded program where we’ve added resellers and master agents and VARs to the mix of our already powerful ecosystem of CRM vendors and referral partners and SIs. So this expanding program is working extremely well. It is early days, but we’ve seen some very good increases, just in the last quarter. We had a 30% increase in Q1 in terms of the number of master agents and resellers that have signed on with us. We’ve actually doubled the amount of bookings from that portion of the channel, the master agents and resellers that is, from Q4 to Q1. We’ve doubled our bookings. We’ve also doubled our pipeline from those channels partners as well. So it’s very, very exciting to see the early progress in this expanded program. And again, we don’t see a real margin impact that’s going to be significant over time. Obviously we get leverage over time from leveraging – from using that channel and not hiring as many headcount against the bookings performance of that channel. So we do see some gradual leverage over time. But as you know, in our models we’re not assuming any sales and marketing leverage going forward because we will continue in parallel to scale our direct sales organization as we have in enterprise at about 30% to 40% year-over-year. We continue to expand that direct sales team and drive bookings increases that are very much in line with that, if not slightly above that. And we also will be hiring, and have hired, folks responsible for that channel program and supporting the channel partners. So I hope that gives you a little insight as to the trade-offs involved.
David Hynes: Yes. No, that’s helpful. And then one more for me, maybe it’s in the professional services side. Coming off of record bookings and it sounds like larger deals, maybe A, address services capacity. And then B, pricing power as you work with larger customers and implications on gross margins as we kind of move up and work with the bigger customers?
Mike Burkland: Yes. Great question, DJ. So clearly, and we’ve talked about this before. We’ve been building out our professional services capacity over time. We continue to invest there, and that’s an important part of the equation here. As we do more and more deals with enterprises, we do more and more larger deals with enterprises as well, it’s important that we have a machine that can deploy and make those customers successful on our platform. So it’s a big, big part of our go-forward investments. It’s been a big part of our recent investments, as well. But we feel like we’re right-sized in terms of capacity right now. We continue to scale bookings and continue to scale our PS capacity. In terms of pricing power, we continue to do business with larger and larger enterprises. As I’ve said before, they have an open checkbook. They want to pay for our services. We have increased our pricing in terms of professional services. But more important than our price point, we’ve increased in terms of the hours that we charge for enterprise customers to deploy our solution. We used to treat this a bit as a loss leader. We would give away hours. We don’t do that anymore. And it’s making a difference in terms of our PS margins. We still have a ways to go, but we’re seeing very, very good progress in terms of our PS margin improving.
David Hynes: Excellent. All right, thanks. I’ll pass the line.
Operator: We’ll take our next question from Raimo Lenschow with Barclays.
Andrew Kisch: Hey, guys. This is Andrew Kisch on for Raimo. Congrats again on a very strong quarter. You talked a bit about margins, but where do you see gross margins going in the medium term? And we’ve just seen this rapid expansion. And kind of wondering how we should feel out where a ceiling might be for that? Thanks.
Barry Zwarenstein: Yes. So we have been, as you have just noted, a fairly strong expansion in our gross margins. As I referenced, Andrew, in my response to Sterling, a meaningful part of that was due to the expansion in the usage margin following the introduction of lease cost routing in the third quarter of 2014. Going forward, we’re going to see more gradual improvements in scale in terms of the subscription part of the revenue and improvement in professional margin due to what Mike just spoke about. So in the near term, we’ll fluctuate around these levels for the next two quarters, see a meaningful increase in the fourth quarter when our revenues goes up with the associated benefit to margins. And in the longer term, we’ll close the remaining gap to the 65% to 70%.
Andrew Kisch: Thanks, guys.
Barry Zwarenstein: Thanks.
Operator: [Operator Instructions] We go next to Michael Latimore with Northland Capital Markets.
Michael Latimore: Great, thanks. Yes, excellent quarter. You mentioned one customer where you were partnering with Skype for Business. The question there is, was Skype for Business already in place, or was that a decision made simultaneously with deciding on your service and did you work with Microsoft on that?
Mike Burkland: Yes. Great question, Mike. And Skype for Business was not in place in that situation. They were coming off of another on-premise legacy PBX, but it’s a good sign of the momentum that Skype for Business is having in the market. And that’s why we partner with Skype for Business as a leader in that UC marketplace in enterprise.
Michael Latimore: And then just you mentioned the 30% to 40% increase in the direct Salesforce, which is great, again. Did you say that the hiring for channel management or channel sales people is a distinct number from the 30% to 40%, or is it included in there?
Mike Burkland: Yes, it’s actually a distinct number. Our quota-bearing reps is the 30% to 40% growth in sales capacity.
Michael Latimore: And then just usage as a percent of total revenue, still in the same ballpark as prior quarters?
Mike Burkland: Absolutely. That has barely changed, two-thirds/one-third.
Michael Latimore: Okay, great. Thanks a lot.
Mike Burkland: Thanks, Mike.
Operator: We’ll take our next question from Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle: Thanks so much. Mike, you were mentioning your various CRM partners, Salesforce, Microsoft, Zendesk, et cetera. Have you looked at that market? Do some of this vendors show up more in different sort of categories in the different ways you go to market, different types of portions of the markets? Does it seem to have any pattern to them?
Mike Burkland: Yes. Well, Brendan, clearly Salesforce is the gorilla in the space in terms of cloud CRM. They really are dominating this market. And I think it’s safe to say that Oracle is playing catch-up. Zendesk is really the new kid on the block that started with really an SMB offering for service a few years ago and is having a tremendous amount of success, really delivering on a different user experience for customer service folks. And they’re an up and comer. So if you look at across the market landscape, we see Salesforce in more accounts than anybody else. And we work with them obviously the most. Oracle is actually putting a lot of energy into this market. Their service cloud offering is front and center. It’s the right-now technologies acquisition that they made years ago. It is very front and center and very strategic to Oracle. And they’re trying to make real progress into that market. And Zendesk is – probably got the most momentum from the bottom up in terms of SMB moving into the mid-market. But we’re starting to do more enterprise deals with Zendesk as well. In fact, we’ve had an uptick in enterprise deals that we’ve done with Zendesk.
Brendan Barnicle: Is there anybody else that you see on the horizon that might be disruptive or that we should be keeping an eye out for in that market?
Mike Burkland: We really – as you know, it’s a bit fragmented in certain segments of the market beyond those three players I just mentioned, and Microsoft obviously. But we really see those four players more than anybody else, by far.
Brendan Barnicle: Great. Thanks for that color. Barry, can you give us any more color on the enterprise revenue growth? I know you give us the LTM growth. Do you have that growth [indiscernible] quarter or any break down within revenue between that and the commercial side of the business? I know you give us the 95% that was recurring.
Barry Zwarenstein: Yes, we’ve stopped giving that number more than a year ago, Brendan. So we give the LTM number. It’s gone from 35% to 38% to 39%. But have not given the Street the specific quarter.
Brendan Barnicle: Great. Thanks, guys.
Mike Burkland: Thank you, Brendan.
Operator: And that is our final question today. Mr. Burkland. I’d like to turn call back over to you for any closing remarks.
Mike Burkland: Yes. Thank you, operator. I just want to thank everyone for joining the call today. In conclusion, we could not be more pleased with how Five9 is positioned in this customer service market. It’s, as I’ve said, in the early days of a massive push toward modernization. We’re leading this market. When it comes to market leadership, my view is that customers make the ultimate determination of that, and that’s reflected in our results. I think the numbers speak for themselves in our case. Five9 is the leader in terms of revenue growth. As you guys know, our revenue growth for enterprise is accelerating. Overall our revenue has accelerated by 6 percentage points over the past five quarters. And we’re also leading the market in terms of business model leverage. Our marginal profitability is best in class. Our march toward EBITDA positive has been very brisk. We’ve taken our EBITDA margins up 28% in seven quarters. So we couldn’t be more thrilled with the progress. I think it’s safe to say that we’re in the right place at the right time. And the business is firing on all cylinders. So thank you very, very much for joining us today.
Operator: And ladies and gentlemen, this does conclude today’s conference. We appreciate your participation.